Operator: Good day ladies and gentlemen, and welcome to the Ingersoll Rand Third Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 I would now turn the call over to your host, Janet Pfeffer, Vice President, Treasury and Investor Relations. Please go ahead. 
Janet Pfeffer: Thank you, Stephanie. Good morning, everyone. Welcome to Ingersoll Rand's Third Quarter 2013 Conference Call. We released earnings at 7:00 this morning, and the release is posted on our website. We'll be broadcasting, in addition to this phone call, through our website at ingersollrand.com, where you will find the slide presentation that we will be using this morning.
 This call will be recorded and archived on our website.
 If you would please go to Slide 2. Statements made in today's call that are not historical facts are considered forward-looking and are made pursuant to the Safe Harbor provisions of securities laws. Please see our SEC filings for a description of some of the factors that may cause actual results to vary from anticipated.  The release also contains non-GAAP measures, which are explained in the financial tables attached to our news release.
 A couple of things of note before I turn the call over to Mike. Similar to last quarter, we will be talking to adjusted margins during our commentary this morning, which excludes refinancing costs, impairment, restructuring and spin-related costs. Our news release and tables give you the reconciliation of GAAP to adjusted margins. This is consistent with how we've given guidance all year.
 As a reminder, earlier this year, we transferred a business line from Security Technologies to Residential. This was just about $20 million of revenue in the third quarter. There was no impact at the consolidated levels. And in the charts and comments, we'll focus on the year-over-year change in revenues and orders for those businesses on a comparable basis so that we're best representing the underlying performance.
 Now to introduce the participants on this morning's call: Mike Lamach, Chairman and CEO; Sue Carter, Senior Vice President and CFO, who joined us in September; Steve Shawley, Senior Vice President; and Joe Fimbianti, Director of Investor Relations.
 With that, please go to Slide 3, and I'll turn it to Mike. 
Michael Lamach: Thanks, Janet. Good morning, everyone, and thanks for joining us on today's call. We delivered growth and profitability above our earnings guidance in the third quarter, with solid operational execution across the company. Our revenues for the third quarter were up 4% versus last year, both on a reported basis and excluding foreign exchange, reflecting top line performance and top-of-our-guidance range. Revenues were up in each of the 4 sectors.
 Orders increased 7%, and we're up in all 4 sectors. Orders were up double digits in commercial unitary HVAC, most of which shipped in the third quarter, and residential HVAC.
 Recall that year-over-year comparisons for residential HVAC bookings are not that indicative given improvements in the order of ship cycle time as a result of the value stream work we've been conducting.
 Adjusted earnings per share for the third quarter were $1.16, that's $0.06 above the midpoint of our guidance range of $1.07 to $1.12. Better performance from operations and higher revenues delivered upside of $0.05.
 A positive $0.03 came from a gain on the sale of a security technology manufacturing site, which was closed as part of a footprint consolidation earlier this year. This is the same product line that Janet mentioned as being transferred from Security to Residential for reporting purposes. And the impact on operating income was $21 million, which was recorded in the security technology sector but after deducting the joint venture partner share and taxes, it was $0.03 of EPS.
 This is a result of the factory consolidation project we've talked about the past few quarters, and it's a great example of operational excellence in the company. We have known all year that we were going to have the gain within the year, but due to government approval timing, we were just not positive in which quarter it would fall. It was not included in the third quarter's guidance.
 Finally, tax was a headwind in the quarter, amounting to $0.02 drag on earnings versus guidance due to a discrete tax charge. Adjusted margin increased 140 basis points. Excluding the impact of a gain I just mentioned, margin increased 80 basis points. Versus 2012's third quarter, Residential delivered a 270-basis-point improvement, Climate margin was up 110 basis points and Industrial margins were up 90 basis points.
 Security adjusted margins was up 520 basis points including the gain and down 30 basis points excluding the gain. Corporate costs were higher in the quarter as expected, due to the higher benefit costs and increased investments related to our IT transformation.
 This marks our 10th consecutive quarter of a positive gap between pricing and direct material inflation. Our lean focus again showed significant results in the implemented value streams, and we continue to invest in the future of the business, funding significant new product development, investing in a new IT platform and building our services footprint.
 Spin-off, restructure and refinancing costs were $0.23 from the quarter. We also recorded an impairment charge of $0.36 related to the security business in Europe, Middle East and Africa. We had filed an 8-K on September 20, advising that there would be this charge.
 We continued our share repurchase program, repurchasing 5 million shares in the quarter. We repurchased 14 million shares year-to-date in September. We still expect to spend the current $2 billion authorization by the end of the first quarter of next year.
 We continue to be on track with our milestone to complete the spin of Allegion in our planned time frame at the beginning of December. We completed a successful debt offering for Allegion a few weeks ago and have named the full senior leadership team, as well as the board. There are 2 key milestones approaching that could be impacted by the government shutdown: the shutdown could delay the timing of the spin beyond early December if we do not receive both the private letter ruling from the IRS, and the SEC declaration of the Form 10 is effective within the next 2 to 3 weeks. We have every belief and indication that we will receive both, it's just a matter of timing. And now that the government is back to work, we're optimistic that we'll be able to maintain our current timeline.
 Now I'd like to formally introduce and welcome Sue Carter, who is our new CFO. She and Steve have been transitioning over the last few weeks since she joined, and that will continue until Steve retires. You will all get a chance to meet Sue in person at our investor meeting on November 12. Sue will take you through the third quarter results in more detail, and I'll be back with our outlook for the fourth quarter and full year. 
Susan Carter: Thanks, Mike, and let me add that I look forward to meeting many of you in a few weeks in New York. Let me give you a high-level summary and then dive into the details.
 Our bookings for the quarter were up 7%; revenues were up 4%; our operating margins without restructuring, one-time items and the gain on the property sale, improved 80 basis points; and we generated $474 million of available cash.  Ingersoll Rand had good operating results in the third quarter. Now let's go to Slide 4. 
 Orders for the third quarter of 2013 were up 7% on a reported basis and excluding currency. Climate orders were up 7%, global commercial HVAC bookings were up high single digits, transport orders were up mid-single digits, industrial orders were up 2%, with order growth in Europe, Asia and Club Car and flat bookings in Americas.
 Residential bookings were up 18% on a comparable basis. Commercial Security orders in the quarter were up 6% on a comparable basis.
 Now go to Slide 5, please. Here's a look at the revenue trends by segment and region. The top half of the chart shows revenue change for each sector. For the total company, third quarter revenues were up 4% versus last year on both a reported basis and excluding currency.
 Climate revenues increased 4%, with HVAC revenues up low single digits and transport revenues up high single digits. Industrial revenues were up 3%. Residential was up 6% on a comparable basis. Commercial Security revenues were up 5% on a comparable basis. I'll give more color on each sector in the next few slides.
 On the bottom chart, which shows revenue change on a geographic basis, revenues were up 4% in the Americas, while Europe, Middle East and Africa and Asia were up 5% and 2%, respectively, excluding foreign exchange.
 Now let's go to Slide 6. This chart walks through the change in adjusted operating margin from third quarter 2012 of 12.6% to third quarter of 2013, which was 14%. Volume, mix and foreign exchange collectively were 40 basis points positive versus prior year. Our pricing programs continue to outpace material inflation, adding 60 basis points to margin. Productivity offset by other inflation was 30 basis points accretive to our margins. Year-over-year investments and other items were higher by 10 basis points, which includes a 60-point impact from the facility sale that Mike mentioned.
 In the gray box at the top of the page, the impact of the gain is excluded to better represent underlying performance. On this basis, overall leverage was 33%. Leverage in the sectors was 40%, partially offset by higher corporate investment spend. 
 The box in the middle of the page shows the revenue and adjusted operating margin by sector and in total, also excluding the impact of the gain. Operations, excluding corporate, increased adjusted margins by 110 basis points. Corporate costs were higher in the quarter due primarily to higher benefit costs and increased investments related to our IT transformation.
 Please go to Slide 7. The Climate Solutions segment includes Trane Commercial HVAC and Thermo King transport refrigeration. Total revenues for the third quarter were $2 billion. That is up 4% versus last year on a reported basis and also up 4%, excluding currency.
 Global Commercial HVAC orders were up high single digits. Orders were up in all major regions. Trane's commercial HVAC third quarter revenues were up low single digits and were up in all major regions, with Americas up slightly; Europe, Middle East and Africa up mid-teens; and Asia up mid-single digits.
 Commercial HVAC equipment revenues were up mid-single digits, while HVAC parts, services and solutions revenue were up low single digits versus prior year. Thermo King orders were up mid-single digits versus 2012 third quarter. Thermo King revenues were up high single digits.
 The adjusted operating margin for Climate Solutions was 13.9% in the quarter, 110 basis points higher than the third quarter 2012 due to volume, productivity and pricing, partially offset by inflation and higher investment spending.  Please go to Slide 8. 
 Industrial technology third quarter revenues were $722 million, up 3% on a reported basis and 2%, excluding currency. Air, tools, fluid and material revenues were up low single digits versus last year. Revenues in the Americas were down low single digits, while revenues in Europe, Middle East and Africa were up high single digits and fairly flat in Asia.
 Air, tools, fluid and material orders were up low single digits. Orders were higher in EMEA and Asia and were flat in the Americas.
 Club Car revenues in the quarter were up mid-teens, and orders were up mid-single digits versus prior year.
 Industrial's adjusted operating margin of 16.2% was up 90 basis points compared with last year as pricing, productivity and higher volumes more than offset inflation and investments.  Now let's go to Slide 9.
 In the Residential business, third quarter revenues of $609 million were up 9% compared with last year and up 10% when excluding foreign exchange. Adjusted for the product line move, comparable revenues were up 6%.
 Residential HVAC revenues were up mid-single digits versus last year. Revenues for the residential security portion of the sector were up mid-teens on a comparable basis, with increases in all major channels. Sector operating margin of 10.8% was up 270 basis points compared with 2012, as pricing, volume and productivity more than offset inflation and adverse mix.
 Please go to Slide 10. Revenues for Security Technologies were $392 million, flat on a reported basis and up 5% when adjusted for the product line move. Americas revenues were up mid-single digits. Revenues were up low single digits in both Europe and Asia.
 Bookings on a comparable basis were up 6%. Results for the Security segment included the gain of $21.5 million as discussed earlier. Excluding gains, adjusted operating margin for the quarter was 21.2%, down 30 basis points from last year as productivity, price realization and favorable mix were offset by inflation and higher investment spending.
 Now let's go to Slide 11. Available cash flow for the third quarter of 2013 was $474 million or 27% above the third quarter of 2012. The increase was due to operating's earning improvement and a 50-basis-point improvement in working capital as a percent of sales, as you see on the slide.
 Cash conversion, defined as available cash flow, excluding onetime and restructuring costs divided by net earnings, was 164% for the quarter and 109% year-to-date. Year-to-date available cash flow is almost $300 million higher than last year.
 Our cash flow performance was strong in the quarter, and we feel good about the $1.1 billion guidance for the full year.
 And with that, I will turn it back to Mike to take you through the guidance. 
Michael Lamach: Okay. Thanks, Sue, and please go to Slide 12. Some of the prior quarter's guidance for 2013 is on an as-is basis. It assumes the current Ingersoll Rand 4 current operating sectors was in place for the full 12 months of 2013.
 Subject to receipt of the approvals in the SEC and IRS, we expect the security spend to take place in the fourth quarter. However, consistent with our convention all year long, this guidance does not reflect the spend.
 Likewise, consistent with our prior guidance, we have broken out spend and restructuring costs from the core EPS guidance in order to give the best representation of the company without the impact of the impending spend.
 To give you an update on our market views, let's start with U.S. non-residential.
 Dodge construction starts and Put in Place trends have deteriorated somewhat since our prior guidance. The Put in Place outlook was lowered in Commercial and Industrial and institutional market segments. The Commercial and Industrial Put in Place forecast for 2013 went from up 9% to up 6%. Institutional markets are expected to be down for the year by 7% versus down 5% in the prior Dodge market forecast.
 The construction starts forecast for 2013 was lowered from up 8% to up 5%, mainly due to a lower outlook in institutional, which is now expected to have 7% lower starts than 2012. The prior forecast was for 2% lower starts.
 Starts is a longer lead indicator for us, so we would -- I think the impact would be greater in 2014 than in 2013.
 We continue to expect low single digit growth in North American commercial HVAC overall and flat to a low single digit decline in North American Commercial Security. We expect North American truck trailer markets to be fairly flat on a unit basis in 2013.
 Asian HVAC markets are expected to be fairly flat in 2013. The China HVAC market is expected to be up mid-single digits for the full year, while Asian markets outside of China will be down low single digits.
 U.S. residential and new construction markets continue to show good growth. We expect industry motor-bearing unit shipment for the year to be up high single to low double digits in 2013, driven largely by new construction. We expect R-22 to be a lower percentage of the market, down about 10% versus 2012.
 Industrial Technologies saw somewhat stronger markets in the quarter in EMEA, with a positive revenue trend in the quarter for the first time this year. Industrial markets in the Americas remain sluggish.
 In China, we saw positive industrial bookings and revenue in the quarter at a fairly low rate and have therefore slightly lowered our outlook for industrial Asia for the full year. When taken in total, the industrial revenue forecast growth for the year is unchanged.
 EMEA Security outlook remains at a slight contraction for the full year. Our Asian Security business, which is much more influenced by the timing of large infrastructure projects, should be up high single digits for the year. 
 Overall Europe, Middle East and Africa taken together were a bit of a positive in the quarter, across the businesses, with higher revenues in every sector. We have revised our full year outlook for the region for the total company, from up slightly to up low single digits.
 Based on our results in the third quarter and our visibility for the remainder of the year, we are raising our revenue and earnings guidance for the year from the prior midpoint. Our revenue outlook for 2013 is now $14.3 billion to $14.4 billion, which is a $50 million increase for the midpoint and which equates to 2% to 3% growth versus 2012.
 This was basically a reflection of the higher-than-midpoint revenues we saw in the third quarter.
 Translating that to our full year outlook by sector, we expect Climate Solutions revenue to be up 2% to 3%, slightly higher than prior guidance. For Industrial Technology, revenues are forecasted to be in the range of down 1% to flat. Residential is expected to be up 9% to 10% on a reported basis and up 5% to 6% on a comparable basis. And for Security Technologies, our outlook is unchanged at down 3% to 4% on a reported basis, and up 1% to 2% on a comparable basis. Please go to Slide 13.
 We are raising the midpoint of our full year adjusted EPS guidance range. The updated range is $3.55 to $3.60 per share. The full year tax rate forecast for 2013 is still expected to be 23%.  This excludes a full year estimate for one-time spin costs and restructuring of $0.70, early bond redemption cost occurred of $0.15 and a third quarter impairment charge of $0.36 related to the Security Technologies EMEA region.  The $0.70 estimate higher than our prior guidance is the additional cost expected to complete the spin.
 The restructuring estimate reflects $50 million for a full year restructuring spend in which we have spent $44 million year-to-date in September. We are going through an extensive process to determine the right organization structure for post-spin Ingersoll Rand to deliver growth while having an efficient cost structure, including elimination of stranded costs from the spin. 
 We're finalizing the plans over the next few weeks, and we'll be in a position to provide you with more detail at our Investor Day on November 12.
 To focus on fourth quarter guidance, refer to the right-hand column on this chart. Fourth quarter 2013 revenues are forecast to be $3.5 billion to $3.6 billion. That translates to up 1% to 4% versus the fourth quarter of 2012.
 Adjusted fourth quarter earnings per share are forecast to be $0.85 to $0.90. We are assuming a share count of 294 million shares and a tax rate of 23%.
 One-time spin and restructuring costs are expected to be about $0.40 in the quarter. But as I said earlier, we will likely revise that estimate as we finalize our restructuring plans.
 For the full year 2013, we still expect to generate available cash flow of $1.1 billion, excluding onetime and restructuring costs.
 So in closing, we're pleased to have delivered another solid quarter. We continue to feel good about our company. Our focus is on positioning our company to continue to grow earnings and cash flow with or without help from markets. As you can see from the results this quarter, we capitalized on some pockets of growth and leveraged nicely. We've implemented a consistent shareholder-focused capital allocation program. We have proactively worked to reduce costs and improve productivity while still making prudent investments for the future. We continue to invest in new products and service offerings, our IT infrastructure and further developing our people and our operating capabilities.
 The spin of Allegion is on track, pending some final approvals. Proud of the progress we've made and the results we have delivered and certainly, optimistic about the opportunities that lie ahead for us.
 I'd like to take this opportunity to publicly thank Steve Shawley for his years of dedicated service and leadership to our company. Steve has been a leader not only in Finance as Controller and most recently as CFO, but also as the Business Unit and Sector President at Thermo King and Climate. Steve's steady hand led us through the 2009 financial crisis and he leaves in great position with both a strong balance sheet and a strong finance team.
 Steve, we wish you a wonderful and well-deserved retirement. 
Steven Shawley: Thank you, Mike. 
Michael Lamach: So Steve, Sue and I will be happy now to take your questions. 
Operator: [Operator Instructions] Our first question comes from Julian Mitchell with Credit Suisse. 
Julian Mitchell: Just in terms of the productivity trends, you had about 30 bps of net productivity tailwind to your margin in Q3. That was after 50 bps in Q2 and 90 bps in Q1. So I just wondered if that reflected simply a shrinkage of the tailwind around materials or anything going on in terms of gross productivity, if there was just some slowdown in that as you approached the spin-off of Allegion? 
Michael Lamach: Yes, Julien, this is Mike. And the short answer is no. The movement in the gap that we've been seeing has been really higher other inflation this year, driven by the benefit costs and wage increases, but the productivity itself has been fairly steady. The value streams, which would be the labor, productivity component, have continued to show excellent results, and sourcing is right on track, delivering the expected levels of productivity there. You can actually see that on the gross margins. We're up about 100 basis points. One thing that is shifting and it's shifting by design and evolution, is the amount of value analysis and value engineering productivity. And that has been last because, as you can imagine now, after 4 years of developing new products and more new products sort of being imminent, there's less need and less old product to go do VA/VE work. But the replacement for that is new product that hopefully higher market -- sorry, higher margins and higher market shares. So I don't think there's an issue here with the sort of runway in front of us, but the only maybe mix change is around that VA/VE component. As far as G&A areas, I still think we're in the early innings there on that. Clearly, we're investing more right now in IT system conversion than we're seeing in productivity, but that's a long process of getting kind of systems installed and obviously, productivity that results on the back end of that. But that's not a surprise to anything that we've been talking about now for the last couple of years. 
Julian Mitchell: And then on the top line, this is always the time of year when people try and get excited about U.S. Commercial construction recovering in the year ahead. It doesn't sound in your commentary as if you're seeing much change. I mean, you did push up the bottom end of your Climate market growth assumption for this year. But when you look across the equipment and the services and parts business in the U.S. Commercial, are you seeing much change? Or it's pretty much steady as it was at the beginning of the year? 
Michael Lamach: Well, actually, service and parts bookings have been good. I mean, the surprise was this year, in the third quarter, was twofold, really in the Trane business, where we had much higher Unitary sales than we had anticipated, and that is going into a strong commercial and industrial market in North America. The other thing that was a bit of a surprise in the third quarter was our Applied business bookings, particularly in North America, were up. And they're up kind of high single digits in North America, and that really helps us relative to what we had expected in quarter 1, quarter 2, even potentially quarter 3 of next year. So it's a long lead delivery on those, but that was a nice sign. But with all that being said, though, we use a number of data points. I know you're familiar with most of these, and the one that we've seen a slip since the last time we talked has been that Dodge data, both the Put in Place and the starts coming down again. So we're somewhat muted in our 2014 view at this point in time as to calling a commercial recovery. We do love what we've seen in the  certainly commercial and industrial space. And we do believe, both in Unitary and a small bit of Applied that goes into that market, that we've done very well in those markets. 
Operator: Our next question comes from Nigel Coe with Morgan Stanley. 
Nigel Coe: And Steve, congratulations on the retirement. Very, very jealous. I'm about 20 years from that event, so very, very jealous. 
Steven Shawley: Fair enough, Nigel. 
Nigel Coe: So just going to pick up on that point. I mean, obviously, the bulk of your commercial exposure is retrofit and replacements. We've seen significant deferral of replacements, particularly within the applied markets. I'm just wondering, are you seeing the sort of the start of the elements of a replacement cycle? Are you seeing a pickup in cooling activity? Any color on that would be good. 
Michael Lamach: Well, I mean, there has been  the launch of quite a bit of new applied product, but frankly, unitary as well that is more efficient, is more reliable. And in that regard, it's always better in conversations with customers when you're able to apply shorter paybacks on what we're doing. So about half the market, I think, is visible through what we see in Dodge, and half the market is the market we create through, I would say, owner direct activity, really pitching energy efficiency and retrofits in buildings. And so frankly, although the Dodge market is unimpressive, I think we continue to do well around energy efficiency, your replacements and to owners. 
Nigel Coe: Okay, great. And then switching to Europe, I mean, I guess Europe is a bit of a surprise with -- you've had commercial HVAC up mid-teens and upper single digit growth within Industrial. So can you just provide some color around what you've seen in Europe? I mean, is this just sort of a flush through in your comps? How sustainable is this kind of growth rate in Europe in your opinion? 
Michael Lamach: Well, for the full year 2013 across the company, we see Western Europe is still down only slightly. The big pickup for us has been Eastern Europe. And then actually, from the way we consolidate that, the Middle East is in that number, and the Middle East has been up quite nicely, particularly in the HVAC business. So Western Europe, not fully recovered; Eastern Europe, doing very, very well; and the Middle East, of course, doing well, too. 
Operator: Our next question comes from Deane Dray with Citi Research. 
Deane Dray: I was hoping you'd give some color in sizing the investment spending that you've done in Climate? And what type of investment you're thinking about in the next year or so? 
Michael Lamach: Yes, Deane. It's not been a program. I think everyone knows that we've been measuring vitality across the businesses for at least 4, maybe little bit longer years now, and we've had sort of a steady influx across all of our businesses. Climate specifically has been a big benefactor of that, both in Commercial and in Residential. So we would continue apace. I mean, you might see the pace to be, incrementally, a little bit higher for 2014, although we really haven't put together yet the concrete plans for 2014 yet across those businesses. But some fantastic ideas around what we're doing there. And quite a bit of investment going on in the applied products, whereas the last 2, 3 years, we've seen that in the Unitary product. We're looking now at -- for many of the broader lines, historically high shares across the business. And that's indicative of really having put together, I think, the right product plans and have made the right deliveries. So there's actually quite a bit going on in terms of new product launches this fourth quarter and on through the middle of next year, particularly in the Trane and Commercial business. Actually, Trane -- Commercial, Trane res together. So yes, I can't give you a definitive number. I don't see a slowing down. The investments we made have been long term and programmatic. There've been really geared against a long term, multi-generation product plan. I'd add the same thing translates over to Thermo King, where we've continued to invest in next-generation trailer product, and we'll continue to do that in 2014 as well. So steady as she goes, maybe a little bit more incrementally. But so far, I think it's added to the top line margin expansion that we've seen. 
Deane Dray: And on the residential HVAC side, can you comment on the mix at the lower end, Ameristar? How -- what kind of traction have they seen? And do you have a sense of any share gains in the quarter? 
Michael Lamach: We are having good success with Ameristar. Ameristar is right on plan for us, no changes there. And relative to what we see, sort of in -- across sort of the board there, R-22 is certainly down, as I mentioned, about 10%. A little bit actually of a bit of a resurgence in the second quarter versus the trend line that we're on, I don't think enough to be a concern. But as some replacements were done really in the second, third quarter, just a bit more mixed toward R-22 than what we had projected. Not a big deal, but we were in position with a product and at the right price point to look at that. So it's really difficult to comment on residential HVAC shares on a quarter-to-quarter basis. I think what we probably do is similar to last year. We might give you sort of a more definitive answer to that question early next year, looking back on a full year. But we like what we're doing. We like the growth. The product, I think, is right. The margin expansion is what we thought it would be. So we feel pretty good about the execution of the team. And as I said in the earlier question, some very interesting product coming out for us in the fourth quarter and through the season next year that, I think, will be pretty exciting. 
Operator: Our next question comes from Steve Volkmann with Jefferies. 
Stephen Volkmann: Mike, I just wanted to make sure I kind of understand your thinking about the fourth quarter, because it feels like we had a pretty good sequential increase in orders this quarter and yet, we don't have a ton of growth next quarter. Is there anything we should be aware about, vis-a-vis, tough comps or onetime or long-term sort of orders or anything like that, that would help true that up? 
Michael Lamach: No. It's the nature of what's booked. And maybe to give you just a little bit of color on that, if you take North America as an example, where we were up in HVAC 7%, half of that really is in the aftermarket parts and services. And so there's really no  order that shipped there as -- as quickly as we get people on the street, parts shipped to the customer. 72% of the balance was Unitary and that's about 70% shipped in Q3. So we've got 30% of that portion left to ship. All the nice Applied bookings, though, really got extended out into quarter 1, quarter 2, and it's when the customer is fundamentally ready or the building is ready for shipment. So that's indicative of sort of our business here as between service and parts, and then you get into Unitary, which is very quick ship, turning ship for us. It really just takes that applied and moves it out a bit for us. Same is true, we had a nice growth in China air; we were up 8% bookings there, but all of that is 2014. In fact, even toward the back half of 2014 in the China air business. And actually, a product that we've launched and are developing in China for the Unitary HVAC business, a new product, was up 66%. But again, all that product is due for us in 2014. And I could go through each of these businesses, but as we go through that and we did our operating reviews on Tuesday of this week, we just didn't get any sense that there was something missing here between the translation of the 7% bookings and the fourth quarter midpoint estimate we have of about 2.5% growth.  So, Steve, it does line up 2014, where we've got a little bit of backlog, we'll be able to take into 2014. That's probably the good news. 
Stephen Volkmann: Yes. That sounds positive. And then I guess I'm also curious about 2014 directionally. When you think about the productivity potential improvements, do those continue kind of through 2014 at the current level? Or is there a reason for it to sort of move one way or another? 
Michael Lamach: Well, we're not going to give guidance on 2014 productivity, but I'd just take you back. Lean for us, still early innings. Our global sourcing organization a little over 1 year old now. So that's still kind of early innings. We really have in front of us all of the functional excellence work that we want to undertake inside the company. Part of that enabled through the IT work and part of it enabled really just through organizational change that we might make there. So fundamentally, I don't see why we would slow down productivity in 2014. I assure you, our plans are to maintain that. 
Operator: Our next question comes from Jeff Sprague with Vertical Research. 
Jeffrey Sprague: Mike, I just want to make sure I understood your message on restructuring. So the comment is that the plan, as it stands today is, for $50 million of restructuring. But as you go into Q4, you're looking for additional actions to kind of prepare Remain-co for separation. Is that the way to think about it? 
Michael Lamach: Yes, Jeff, that's exactly right. 
Jeffrey Sprague: And as we get into next year, is there a tail of restructuring activity associated with kind of new co, or you get that done in Q4? And is there any anticipated change to the way you restructure or the pace of restructuring or how you even incorporate restructuring in your guidance once we get into 2014? 
Michael Lamach: Jeff, for now, think about that restructuring really about being sort of longer payback, sort of 1-year-type savings on that. So I don't think it's going to be sort of a headwind or a tailwind for us next year in the way you should think about 2014. It would certainly help the company sort of on a go-forward basis on that. 
Jeffrey Sprague: But you'll get most of what you want to get done for '14 kind of booked in the fourth quarter, it sounds like? 
Michael Lamach: Well, hard to know if we're able to do that. But certainly, we would like to be able to get on it as quickly as we can. And there's no doubt that some things that we do might take a little bit longer. But that's our focus at this point in time. 
Operator: Our next question comes from Mig Dobre with Robert W Baird. 
Joseph Grabowski: This is Joe Grabowski sitting in for Mig. I wanted to ask about the Thermo King bookings. Last quarter, they were up pretty solidly mid-teens. Seems like this quarter, they've sort of normalized back to the mid-single digit range. Is that sort of the run rate we should expect going forward? 
Michael Lamach: We've had -- North America I think, is probably more what you're referring to. We've had a forecast for trailer of about 34,000 units and [indiscernible] had a forecast of about 37,000 units. And we don't see the 37,000, and if we stretch it, we might see it some between 34,000 and 35,000 units. And so I think it'll normalize back to our projections, which is really based on a deep understanding of actual truck customers that we're talking to and what their buying expectations and habits and patterns actually are for our business. So we think we've got the forecast right here. And there was a lot of sort of early-season booking this year. Certainly, we're delivering against those, the shipments as we speak. But I don't -- we don't see it as a 37,000-unit market. 
Steven Shawley: And remember, the first quarter was pretty flat for TK, certainly the TK North American trailers. So we're kind of catching up with that such as when we average out for the year, it's going to be about in the single digits. So... 
Joseph Grabowski: That makes sense. That's very helpful. So then, sort of the high single digit revenue gains you've been seeing there the last couple of quarters, though should also sort of normalize to more than mid-single digit range going forward? 
Michael Lamach: The only anomaly might be, as you think about the new precedent product, which is sort of the car plant now to a bore reg product, it's a more expensive product. So even on a same-unit volume, we mix up a little higher on that. 
Operator: Our next question comes from Jeff Hammond with KeyBanc Capital Markets. 
Jeffrey Hammond: Mike, can you talk about how you're thinking about price actions next year? I mean, it seems like we're in a pretty muted commodity environment and still demand environment. But what's your thought about kind of going out with price across the businesses? 
Michael Lamach: Yes, Jeff. In a company that has as many products and channels as we have, that's a question that you can't answer in aggregate for the company; it really comes down to how we're thinking about different businesses, different competitive situations. And what I would tell you fundamentally here is that I agree with you, it'll be a muted environment. We do think that we'll see a positive GAAP again next year priced to inflation. And all the work that's going on relative to pricing for us now in 2014, has really been understanding relative competitive position and how to price the economic value between ourselves and competitors, as well as to a more surgical approach to stratifying channels to provide the right pricing to the right channel partners and business. So you'll probably see us have price next year again, even in a market where there might be muted inflation and not a lot of announced price agreements. We would still expect to have price -- some positive price gaps. 
Jeffrey Hammond: Okay. And then looking at the orders maybe a little bit differently, in the inflector from plus 1 to plus 7, can you talk about if there's any -- just break out how you saw it differently from an inflection point between the regions? 
Michael Lamach: Well, yes. I mean, certainly, Europe was stronger than what we expected really across-the-board. So that was probably a surprise, #1. And then I would say, just as the Unitary piece of this -- particularly, I would say bookings for Unitary in the last week or 2 of the quarter were a little stronger than we had thought. That would -- that's what leaves us with 30% you have to shift, because the cycle times there are very short in that business. So that was a bit of a surprise. And frankly, we were really not thinking about the applied market being that strong. So we had really nice strength in Asia, specifically China, and we had great strength in the Americas, in the Trane, Applied business. So when you part to the part, Europe is a geography, but I'd say Climate, HVAC, Asia and TK really is sort of the business drivers. 
Operator: Our next question comes from Steven Winoker with Sanford Bernstein. 
Steven Winoker: So, Mike, what percentage of the cost base is now covered on value streams? Where are you on that? And is SIOP, as part of that, in your view pretty much fixed, in
 good shape, given you're starting to see some of these more rapid orders changes? 
Michael Lamach: Yes, Steve. Todd would say that, look, by the end of the year, we'll be at 40% next year. I think our plans right now will be closer to 60% at that point in time. SIOP is -- you're saying fixed. I mean, you're always trying to improve that. As you well know, Steve, in particular, just a bit of a background you had on lane [ph]. And so SIOP is a process, it's implemented. We've seen much better materials management. We've seen much better inventory control. We've seen much greater fill rates. We would expect continuous improvement in SIOP as it relates to what we're doing, and it's been part of the fundamental improvement in the company, along with all the other work going on. So SIOP has improved, working capital remains at really, I would say, top quartile levels around the diversified industrial peer group, and we have no reason to expect that, that won't continue to improve. Our expectations are to improve that. So there's this much more sophisticated work coming in, in 2014 and beyond, plan for every part, further work on stratifying our ABC materials analysis and different tools we're bringing into the organization as part of the standard operating system for the company. But we're executing a lot of that today. So... 
Steven Winoker: Okay. And on Asia, you mentioned improving orders, but I know revenues were up just 2% x FX for the quarter. I mean, can you give us a little better sense of what the Asia mix is? Or where you're having kind of headwinds or just tailwinds in your business? 
Michael Lamach: Oh, HVAC was really the very positive surprise on sort of what we've seen there, specifically in China relative to kind of where we were. So that's been a good story for us. And Air, it picked up in Q3. We think it'll pick up again in Q4, albeit  those are typically very large, complex systems that are being pushed out 9 months, even a year for customer delivery in some of the locations. So we saw it across the board. I would say the Climate businesses have just generally been a bit stronger for us than industrial, which is still, we think, capacity-constrained and policy-constrained in China to a certain extent. So we see a recovery there, but it's somewhat muted relative to our HVAC performance, where we're having great success in things like health care and 4- and 5-star hotels. So the mix has moved away in HVAC from maybe industrial HVAC applications or from pharma or tech companies into hospitals and leisure. And in the Air side, it's still constrained a bit through some of the second-tier providers that we sell to, that would sell off to shipping and steel as an example. 
Operator: Our next question comes from Steve Tusa with JPMorgan. 
C. Stephen Tusa: Just a couple of quick ones. First of all to say -- the details on Slide 9, you said HVAC revenues were up mid-single digits, but you said shipments increased by high single digits? So what was the difference between the units and revenues? Why would that be lower? 
Michael Lamach: Looking at Slide 9, Steve, to see what's -- your talking residential? 
C. Stephen Tusa: Yes, because you basically said revenues were up mid-singles, but units are up high singles. So I'm just curious as to -- it doesn't seem like mix would be that massive or price. Or just curious as to what the difference is there. 
Michael Lamach: Mix and price, Steve, I guess I'd have to bridge what's left over exactly how much, but mix and price would be substantial in terms of the amount of '13 or '14 year business we're doing now versus what we used to do. So price has been a contributor for us as well. Price has been still very positive. So between the 2, I think that... 
C. Stephen Tusa: Well, I mean, units are higher than revenues. So if the mix was positive, wouldn't that be the opposite? 
Michael Lamach: Well, the mix was lower SEER. 
C. Stephen Tusa: Oh, I got you. I got you. 
Michael Lamach: [indiscernible] Right. 
C. Stephen Tusa: Why was it lower SEER? 
Michael Lamach: Well, that's, again, the market moving there. And as you know, from the last couple of years, we've been trying to put product in that range. And whether it's Ameristar or Trane at new price points, it's been a focus for us to compete across the whole product -- over the whole 13 through 17-plus market. And we're selling more '13, '14 series mix, and that's -- mix is down for us in terms of price. And, of course, units are up. 
C. Stephen Tusa: Okay. And on the commercial front, clearly, a pretty strong number, and it looks like you're at least outperforming your peers like Carrier, who have called out things that are a little more negative. Is that just kind of regional differences? Or are you seeing traction on the new stuff that you introduced, the big booth at AHR last year? Is it kind of regional differences? Or maybe, do you really think you are kind of on the cusp of going on a nice run of taking share here? 
Michael Lamach: Well, it's across the board. I mean, it's every single region of the world. Unitary is up nicely for us, and I could think about AP, EMEA and Unitary Americas, all had significant new product launches in the year that you saw at the HR show. So part of it certainly, I think, would be attributable to that. We've had really good success with the Unitary product within the marketplace. 
Operator: Our next question comes from Shannon O'Callaghan with Nomura. 
Shannon O'Callaghan: Mike, just on this -- so on this kind of surprising pickup in Applied, now that you've seen it -- I mean, have you been able to kind of decipher a little bit more what drove it and how sustainable you feel it is? Sometimes things can be a little bumpy at this part of the cycle. I mean, does it feel like there's potential follow-on to that? 
Michael Lamach: Shannon, I'd say I consider to think about it as being bumpy. The data we're looking at still is moving dramatically. And the Dodge data, 2Q to 3Q, particularly institutional, has moved down. So I mean, to me, it feels a bit lumpy. Again, it's been really great for us to see, particularly in applied, the large chiller business into the [indiscernible] business to look at our shares there, really again kind of approaching historic highs for the company. That's all well and good, but it's not really driven by Put in Place or starts getting us excited. 
Shannon O'Callaghan: Okay. And in terms of those share improvements, I mean, you guys are pretty active in new products. Have you seen any counter from some -- any of your competitors in terms of trying to launch against you with some new products of their own? 
Michael Lamach: Absolutely. I mean, it's a competitive business. We've got great, strong competitors. Nobody is sitting back on their heels. We're just working a long-term multi-generation product plan, thinking 3 to 5 years out. There's new technology that we're incorporating in new product development, so it's -- often times, if you think about new technology, it needs to be proven before you put it in new product development. So we're having, I think, some great success, where NTI work is now proving out to the point where it's being introduced into new product development. And that's created, I think, an advantage in reliability and in efficiency, which, I think, a great place is to compete. So that's really what's been happening. I could extend that to Thermo King, and I can certainly extend that to -- really, all of our businesses, I think, are following the same formula. 
Operator: And I'm showing no further questions. I will now turn the call back over to Janet Pfeffer for closing remarks. 
Janet Pfeffer: Thank you, and thank you, everyone. We look forward to seeing many of you on November 12 in New York City. Have a good day. 
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect, and have a wonderful day.